Operator: Greetings, and welcome to the Kingstone Companies, Inc. Third Quarter 2018 Financial Results. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Amanda Goldstein. Please proceed.
Amanda Goldstein: Thank you very much, LaTonya, and good morning, everyone. Yesterday afternoon, the company issued a press release detailing Kingstone's 2018 third quarter results. On this call, Kingstone may make forward-looking statements regarding itself and its business. The forward-looking events and circumstances discussed on this call may not occur and could differ materially as a result of known and unknown risk factors and uncertainties affecting Kingstone. For more information, please refer to the section entitled Factors That May Affect Future Results and Financial Conditions in Item 7 of the company's Form 10-K for the year ended 12/31/17, along with the commentary on forward-looking statements at the end of the company's earnings release issued yesterday. In addition, our remarks today include references to non-GAAP measures. For a reconciliation of our non-GAAP measures to the GAAP figures, please see the tables in the earnings release. With that, I'd like to turn the call over to Kingstone's Chairman, Mr. Barry Goldstein. Please go ahead, Mr. Goldstein.
Barry Goldstein: Thanks, Amanda, and welcome, everyone. First, I'd like to say just how delighted I am with the implementation of the succession plan here at Kingstone. As you know, Dale Thatcher assumed the CEO role over our insurance company in March. Last month, we announced that Dale will assume the role as CEO of Kingstone Companies itself beginning in 2019. The Kingstone Compensation Committee work closely with counsel and consultant to structure new agreements for both me and Dale, beginning next year and extending through 2021. I've been congratulated many times about my retirement, but no, no, no, I am not retiring. I'm staying here as Executive Chairman and one of my specific responsibilities will be to broaden the company's distribution network going forward. Dale will be running the company, and I will assist him in any way that I can. As such, it makes perfect sense to me to now hand off the call to Dale. Dale?
Dale Thatcher: Thanks, Barry. We continue to make substantial progress towards our goal of becoming a premier Northeast regional carrier. We continue to add significant new business volume in New Jersey and Rhode Island, while at the same time growing our highly profitable core of New York business. Our outside of New York in-force premium is now $7.5 million, with 116 agents appointed and 6 new products delivered in only 18 months. Personal lines as a whole saw direct written premium again grow at over 20% year-over-year, and we are seeing many new opportunities present themselves that will enhance our growth prospects in the near term. Keep in mind, that our plus 20% growth rate this quarter reflects the first quarter-over-quarter comparison that is not impacted by the A.M. Best rating upgrade, which occurred in 2Q 2017. For the quarter, we recorded a combined ratio of 86%, an excellent combined ratio by anyone's standards, but it does look anemic when compared to last year's 69.8%. I remind you that in my 35-year insurance career, this is only the third time my company has recorded a combined ratio in the 80s, so I'm not going to apologize for it. Clearly a 69% combined ratio for a quarter is unusual, but I'd love to record a few more of those now and again. As we grow and diversify, we expect to see less volatility in our combined ratio, but we still have every expectation of continuing our history of profitability. For the quarter, that combined ratio translated into a 16% operating ROE. In my mind, a 16% ROE and an 86% combined ratio continue to be something to write home about and are, obviously, an envious position to be in. Couple of other areas I'd like to touch on are expenses and reserves. During the quarter, we continued to our plan to eliminate our reliance on quota share reinsurance, increasing the retained share of our high margin personal lines business from 80% to 90%. While this resulted in a small increase to our expense ratio due to the ceding commission impact, our direct expense ratio, excluding the impact of ceding commissions, continue to improve. The ratio of other underwriting expenses to direct written premiums declined from 13.6% to 13.4% compared to the prior period as we continue to scale up our infrastructure in an efficient manner. In addition, we're implementing innovative new technologies, such as Roost Smart Home devices in order to provide value to our insureds and select agents, while hopefully reducing loss costs from winter weather. As a long-term proponent of a strong balance sheet, I am pleased that our reserve levels remain strong. We recorded a small amount of favorable prior year development during the quarter. And year-to-date, our ultimate loss picks have held up very well. Our product team continues to monitor claim trends closely, and we are taking actions to ensure our pricing remains adequate and that we stay disciplined in order to continue our profitable growth. Based on our continued excellent results, for the full year, we expect to achieve a combined ratio, excluding cat losses, of between an 84% and 86% and cat losses of approximately 6 points on the combined ratio. That concludes our prepared results -- remarks, excuse me. I'll turn it back over to the operator and open it up for your questions.
Operator: [Operator Instructions] We do have one question from Cody Peck [ph], a private investor.
Unidentified Analyst: Possibly any expansion in the Connecticut or any other states that you've recently been licensed in, but haven't started writing business in?
Dale Thatcher: Yes, we have recently filed product in Connecticut, and we're awaiting for approval there. So once we receive approval for that, we'll be able to open up business and appoint agents and begin writing business there. We're certainly looking at other states. New Hampshire is one that we're licensed in and we're looking at opening that also. And, obviously, Pennsylvania has been a state that we've been functioning in for some time, but one that we haven't had a lot of production in to this point. So it's certainly one that we're looking at trying to expand that production. So certainly have ongoing expansion expectations.
Operator: At this time, I would like to turn the call back over to Mr. Dale Thatcher for closing comments.
Dale Thatcher: Very good. Thank you for participating in our call today. If after further review, you have some additional questions or need clarifications, by all means, please give us a call. Thank you very much, and have a good day.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time, and have a great day.